Operator: Good day, ladies and gentlemen, and welcome to the BioReference Laboratories, Inc. Second Quarter Fiscal Year 2013 Earnings Conference Call. My name is Jenade, and I will be your operator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to Ms. Tara Mackay, Investor Relations Coordinator. Please proceed.
Tara Mackay: Thank you, and good morning. Welcome to BioReference Laboratories Second Quarter 2013 Earnings Conference Call. BioReference Laboratories is one of the largest independent regional full-service laboratories in the country with focused marketing capabilities in the areas of genomics, oncology, women's health, correctional health and physician office pathology. Leading us on the call today will be Dr. Marc Grodman, President and Chief Executive Officer; and Sam Singer, Chief Financial Officer. Some of the commentary made in this presentation may relate to future results and events. Statements regarding the company's revenue and earnings guidance are based on the company's current expectations. Actual results in future periods may differ materially from those currently expected or desired because of a number of risks and uncertainties, including: general economic and business conditions; future regulatory requirements and mandated pricing reimbursement; the service, customer and geographic market mix of any particular period; the company's ability to effectively manage its operating costs and collect its receivables in a timely fashion; on the level of demand for the company's products and services; and on the company's ability to manage its supply and delivery logistics in such an environment. Additional discussion of these and other factors affecting the company's business and prospectus is contained in the company's periodic filings with the Securities and Exchange Commission. I will now turn the call over to Dr. Marc Grodman, President and Chief Executive Officer.
Marc D. Grodman: Tara, thank you very much. We are in a health service business, and being in a service business, no matter how technical and scientific the work that we do is, much of what we do is an amalgam of many people who contribute to the end product. I apologize to you for the delay this morning. It's my understanding that when people went on the webcast to hear the call, that they got connected to another company's earnings report. I have enough of a challenge to respond to my own earnings report, let alone not another company, and this was evidently some kind of crossing of signals or wires. We apologize for that, but that's what's responsible for the delay I am told. Please let people know that it's my understanding that if anyone on who wants to be on the webcast, who wants to go hear the call, if they cannot correct this problem by the time the call is over, they certainly will be able to get access to the call on the webcast later on today. So with that, I make -- I'm sorry that it caused a delay. Let me have you give you Sam Singer, then I will be more than happy to go ahead and talk about -- and make some comments about the quarter. Thank you. Sam?
Sam Singer: Thank you, Marc. Good morning, everyone. During the second quarter of fiscal year 2013, which ended on April 30, BioReference recorded net revenues of $176,452,000, the highest quarterly net revenues ever recorded by the company compared to $151,443,000 in the second quarter of the prior fiscal year, an increase of 17%. Gross profit on revenues for the current quarter was $80,676,000, representing a 46% gross profit margin. In the second quarter of the prior year, gross profit on net revenues was $67,534,000, representing a 45% gross profit margin. Earnings per share on net income after taxes were $0.41 per share in the current quarter versus $0.33 per share in the prior year quarter. Patient count for the current quarter increased to 2,066,000 from 1,952,000 for the prior year quarter, an increase of 6%. Net revenue per patient for the second quarter just ended was $84.93 compared to $77.09 per patient in the same quarter of the prior fiscal year, an increase of 11%. On April 30, 2013, working capital was $157,088,000, a 4% improvement over the $151,625,000 that was reported on October 31, 2012. Our day sales outstanding on April 30, 2013 was 89 days. Net revenues were $337,709,000 for the 6-month period ended April 30, 2013, representing a 16% increase over the net revenues for the same period in the prior fiscal year. Gross profit on net revenues for the current 6-month period was $151,598,000 or 45%, compared to the prior fiscal year of $127,652,000 or 44%. The number of patients serviced during the current 6-month period was 4,038,000, which was 7% greater than the prior year comparable period. Net revenue per patient for the 6-month period just ended was $83.07, which was 9% greater than the prior year comparable period. Earnings per share on net income for the 6-month period ended April 30, 2013, were $0.72 per share as compared to $0.60 per share in the prior year. Thank you. And I'll return the call to Marc.
Marc D. Grodman: Sam, thank you very much. This was a tough quarter on many fronts. First, as other laboratories reported on operations this calendar year 2013, there were fewer business days this year in February and March than last year that made comparisons to the prior year difficult. That especially has an effect on the routine regional business and on patient count. Weather, while not as catastrophic as some previous quarters that we've had, and we've had some horribly catastrophic quarters with regard to weather, was simply not as good as the second quarter last year. The BlueCard confusion delayed payments caused disruptions to laboratories, physicians and patients alike. Lack of clarity by Medicare with regard to molecular pathology payments caused problems for some labs and even more confusion to those who follow the industry. Washington issues remain problematic to those both inside and outside the health care industry. I want to make it very clear, the response of BioReference to these challenges was simply to grow, posting our best ever quarterly revenues. The response of BioReference was to continue to innovate, expanding testing capabilities to invest in new informatics so we can evolve side-by-side with providers as they evolve to confront emerging market forces. As I said in the past, we are who we are. A growth company with dedication to better science and better service, a growth company that competes in those markets where we can differentiate ourselves and thrive. I especially want to start this time by mentioning GeneDx, our outstanding genetics laboratory under the equally superb leadership of geneticist, Sherri Bale. Its growth and reputation -- equal to its growth and reputation, however, has been the effect of GeneDx has had on all of BioReference. Over the years, it is fair to say that all of BioReference has grown zebra stripes, as bright as any one could imagine. Zebra is the franchise or is the example, the symbol of GeneDx. We are often asked what part of our businesses is growing the fastest. While we may give indications based on current conditions and conditions change, we always point out that our businesses can't be defined in that manner, that most of our work covers more than one discipline. That's also true of GeneDx. Not only is it currently the fastest-growing part of BioReference, but its influencing testing that touches all other areas in the company. The effect on women's health has been critical, especially as we introduced new tests in carrier testing and prenatal diagnostics. The effect on cancer testing should prove to be even more dramatic. Cancer diagnostics will change. For years, the concept of personalized medicine has been limited to those patients with what we call solid tumors like breast, lung and colon, pancreatic or prostate cancer. But pharmaceutical companies over the past decade have dedicated themselves to develop new drugs based on the genetic makeup of each individual's tumor. In order to use the right drugs, you need to know that genetic profile of that specific tumor. In order to bring the drugs to market, you need to identify those with targeted genetic makeup. We believe tumor sequencing is the future of cancer diagnostics. Our collaboration with Massachusetts General Hospital has been exceedingly fruitful. And although this has only started to unfold in clinical practice, there is no question in our minds that it will soon become a standard of care. Cancer informatics are also changing. It's one thing to sequence tumors, it's something else to know what that means. Our bioinformaticians are constantly working to improve the powerful exemplary tools that we have developed. These tools are grounded in genetics, but they could be utilized through clinical analysis as well. These are exciting efforts and invaluable investments for both the near and longer-range future. Cancer providers are going through a transition. They're merging or being acquired, changing the market dynamics. As they evolve, we must, too, evolve. With the use of StormPath, our virtual pathology system, we can partner with these emerging entities, enabling both of us to produce and gain value. We have recently signed an agreement with one of the largest groups of merged oncology practices in the nation, a group that services over 0.25 million cancer patients. We will assist them in performing some lab services, we will provide some of the services ourselves, but more importantly, this collaboration will serve as a model at how we will work with providers to make them more effective. GeneDx is not built around one test or one platform. It is a full-service genetics laboratory that utilizes all the tools to provide critical answers in a -- to a growing number of areas, such as cardiology, neurology, pediatrics, ophthalmology, moving well beyond just the rare diseases that began more than 13 years ago. Results from GeneDx testing services do not get easily generated from an analyzer. This is a service. A highly skilled, highly professional clinical service performed by geneticists. The technology only goes as far as the professionals who analyze the results and the tools that enable them to do so. In that regard, GeneDx and its people are outstanding. GenPath Women's Health was conceived and constructed to support growth and innovation. We are a branded women specialty laboratory -- we are a branded national women's specialty laboratory that offers one-stop shopping for laboratory needs, from esoteric prenatal services to genetics, infectious diseases, early detection of cancer, to routine laboratory testing, all sold by a strong, well over 100-person national sales force who focus on only this area. We believe this area will continue to strive. One of the most overlooked areas of our growth is the regional routine business which is truly a misnomer. We do non-esoteric work around the country, but outside of the Northeast and Mid-Atlantic states, this work is performed as either GenPath Oncology or GenPath Women's Health. Other types of clients and services of BioReference are Laboratorio Buena Salud. The work in the Northeast and Mid-Atlantic states that may encompass both routine and esoteric business has never been stronger. Buoyed by strong managed care contracts and a history of over 25 years of service frequently by the same people and infrastructure as today, we believe our so-called regional franchise has never been stronger. Innovation is critical here, but informatics and enterprise consistency are equally important. BioReference has a track record over a fairly lengthy period of time. I would caution those who question us on the basis of challenges we face to also evaluate us on the basis of our persistent and proven ability to respond to those challenges. Let me address some of the challenges we faced in this quarter. There was the end of the grandfather clause last year stopped us from billing Medicare for certain pathology services when there had been a previous practice allowing such billing. This quarter -- last year, these tests were billed to Medicare. This quarter, the same tests were billed to hospitals. In many cases, this has resulted in lower reimbursement rates and longer collection cycles. This change is fully reflected on our current results and has been for the past couple of quarters. A great deal has been written about molecular pathology pricing and the implementation of the AMA designated codes. These new codes introduced to promote greater transparency in molecular testing, have been assigned reimbursement levels, if at all, which can best be described in the less than transparent manner. This change should have been handled better. There have been some -- there have been delays, even cessation of payments, in some case, for these tests and reimbursement levels that are too low. However, I want to be clear, as we have stated in the past, the volume of tests that we perform in this category is a minimal portion in our -- of our business, and the challenges have not significantly affected our operations. That being said, it is not to say that it was handled well. We are still in the comment period on this matter. And I want to highlight the efforts of the coalition of companies organized to fight this particular issue, the coalition to strengthen the future of molecular diagnostics. They stepped in a vacuum and have poured energy and commitment to this effort. The changes in BlueCard are another issue that needs to be addressed. One of the advantages of Blues Plans was that it had a strong portability component that made it easy for patients to use different providers around the country. The change that, by and large, was implemented earlier this year, called for laboratories to bill the Blues Plans where the specimen was drawn rather than where it was processed. There are 39 Blues Plans around the country, including Hawaii, Alaska, Puerto Rico. I do not believe that any laboratory is in every one of those plans. And without BlueCard, many laboratories under many different scenarios became out-of-network providers. In addition, local Blues Plans don't offer 1 or 2 plans a piece, but sometimes scores a plans depending on the specific benefit designs the employer or agency prefers. In addition to that, with all this confusion, there were Blues Plans receiving bills from laboratories that they never had to adjudicate in the past. And not only were there some delays, but there were certain cases where patients were directly reimbursed rather than the providers. This made the collection cycle even more problematic. Our response was strong. Our response was to get in network with the plans we formerly billed through Blue Card. We believe we have been quite successful. We have or have received a network contract with numerous Blues Plans. Effective on May 1 of this year, we are moving forward with Anthem, WellPoint to be included in many of its plans, both of its plans in additional 14 states. We have also signed an agreement with the Blue Cross and Shield Association to offer competitive pricing to those remaining plans where we don't have a direct relationship which are not covered by Anthem, and we've already received contracts from this relationship. Blue Card has been a challenge. It will have an effect on cash flow and DSOs in the short term, but as we mentioned previously, it will not have a lasting effect on our ongoing operations. In fact, although we are replacing Blue Card with direct contracts and it should not be a material change, we believe that being directly in network may turn out to be a positive in the long run. We should mention here that we believe that our list of managed care contracts is as impressive as any in our industry. Let's review our operations. Earnings per share were $0.41 compared to $0.33 for the same quarter last year, an increase of 24%. Revenue per patient was almost $85, up from just $77 last year, an increase of about 11% from the same period last year and an increase of almost 5% sequentially from the first quarter of this fiscal year. Our percentage of esoteric testing moved up significantly from the prior year same quarter to 63%. There are many factors in play here. Some positives, some negative. I mentioned about the fewer days that have a greater effect on the routine testing associated with higher patient counts. Weather, while without the catastrophic results of Superstorm Sandy last October, was still more problematic than the same quarter last year. There were some confusion with regard to Blue Card. However, the most critical factor here was the significant increase in testing at GeneDx that has expanded both in scope and in patients served. This has been the product of years of investment and innovation where we wear our stripes proudly, a true genetic franchise that have capabilities and a reputation that are highly respected in the marketplace. Gross margin for the period was 46%, up over 100 basis points from the 45% for the same period last year. Marketing expenses were about 9.5% and compare favorably to the 10.5% for the same period a year ago. Last year on this call, I spoke about the privilege of addressing almost 250 sales reps at our annual sales meeting. At this year, the annual sales meeting, I spoke to over 300, and I remain proud of every one of them. I listed the challenges we face just as I have done with you today. I detailed our responses to those challenges just as I have done with you today. We provide them the innovation, outstanding science and strong support, and I asked this remarkable group of people for their loyalty, commitment and hard work, to which they resoundingly responded. As I've said in the past, BioReference has the most potent and best-trained health care sales force in the country. People stay, make careers and retire from BioReference. Other SG&A expenses, excluding marketing and bad debt, were relatively flat from the same period last year, just under 15.5% compared to being just over 15.5% last year. I'd like to go into a little bit more depth about our bad debt. As most of you know in the first quarter of this year, we changed our treatment of bad debt in compliance with Accounting Standards Update number 954, which states that bad debt should be treated as an actual failure to pay, rather than a reserve against the anticipated nonpayments or allowances. In the past, we recognized revenue for patient service revenue at undiscounted rates and accounted for the anticipated unpaid portion of the revenue as bad debts. Under the new rules that we are following in compliance with the 954 Update, we recognize only the amount that we actually know that we will not be paid as bad debt as part of SG&A. We previously gave some guidance that the anticipated percentage would see, as bad debts would be about 7% to 7.5%. But as we have actually implemented programs to calculate this precisely, the bad debt has been running slightly higher than we expected, somewhat over 8%. Given our experience over the past 3 months, we expect the number to trend down to closer to where it was projected, but we will obviously be tracking these results as time goes on. As we've discussed the changes and considerable confusion associated with Blue Card, as well as the slowing or absence of molecular testing reimbursements impacted cash flow for the quarter, it was about $5.2 million this year compared to a cash flow $12.7 million last year. We believe as our new pay arrangements take effect over the next quarter, we should see improvements during the balance of the year. Not surprisingly, days sales outstanding were 89 days at the end of this quarter compared to the prior fiscal year second quarter when they were 88 days. This is not surprising given the cash flow and the issues we discussed. Even with these changes, we have still, by and large, maintained significant improvements we've gained over the past few years. Let me make a few -- take a few moments to answer some questions that may arise about the quarter. Will we continue to grow? Look at our record of unprecedented growth over the past 2 decades. Look at the investments in new technologies. Look at the commitment to sales and marketing. Look at the markets in which we compete. I won't comment on quarterly variations, but in the past, certainly, indicates that we know how to grow. We continue to innovate, we expect soon to introduce new testing panels on inherited cancers through GeneDx, an area that has received a great deal of publicity over the past few months. GeneDx was the first commercial clinical laboratory to embrace next-generation sequencing for clinical use and has a reputation in the genetics community for science, innovation and service, that is unique. We look forward to this new initiative. And as I mentioned before, we deal with the quarter-by-quarter differences, the other areas of [ph] our business and especially, the regional business that we have has simply never been stronger. Will we pursue acquisitions? We've long stated our position that we don't buy customer lists, that we buy capability when needed. We made 2 acquisitions in Florida this past December that have afforded us the necessary infrastructure to service our growing patients in the South. One of acquisitions, a laboratory in Miami, Florida, has been re-branded as Laboratorio Buena Salud, to service a niche of providers and patients who appreciate a Spanish first option and where language may be a barrier to care. We have now opened 2 other dedicated patient service centers, 1 in Miami and the other 1 in Union City, New Jersey, that are branded as Laboratorio Buena Salud, staffed and supported by a dedicated LBS sales and support staff. We will expand this effort. We believe in this effort. What is often not known about us is that we're currently performing relatively routine testing in Florida, Maryland, Ohio and Texas. We will pursue strategies that will allow us to better service our expanding business. We'll pursue acquisitions, as we have always stated in the past, that are synergistic and accretive. Will reimbursements continue to feel pressure? Of course, they will. I've been doing this for over 25 years, and the answer has always been the same. This is a basic reality of our industry. All health care services. We compensate the declining reimbursements by staying relevant, innovating and growing. We deal and we deal with these changes. What will happen in Washington? We're fully aware of the headwinds in the market that have gotten significant attention. There is pressure on the payer side to cut expenses and deal with burgeoning health care costs. And perhaps, nowhere is this clearer than in government programs. However, what is not fully appreciated is that there were indications that utilization somehow may be affecting what is going to be done, and that maybe providers of all kinds are preparing for changes. We don't know what we're going to be facing in these challenges. We don't know if we'll be facing challenges in a 1 year SGR [ph] fix or a permanent fix I think that we, as a country, should clearly resolve to do. The temporary fixes of the recent past with regards to SGR have been counterproductive. As an industry, we can react. What we find more difficult is to react to uncertainty. A permanent fix to the SGR will be better. However, whatever the future holds, I'm comfortable facing these pressures with a growth company built on innovation. Over the past quarter, we purchased an additional 81,600 shares of our common stock pursuant to our stock buyback plan, bringing our total shares acquired to 367,050 since the plan's authorization for up to 1 million shares in November 2011. I'm extremely proud of this quarter. As I mentioned earlier to many of those who follow public traded companies, do an admirable job in detailing the challenges that we confront in our operations. I caution those who evaluate us solely on the base of the challenges and underestimate our track record to respond. Our mettle's 's been tested. We are in a competitive evolving industry. We've had a history of substantial growth, and we have been more than tested throughout our fairly long history, over 25 years as a public company. We'll be tested again and again, but the underlying conception of the company, the dedication to better science and better service and the resolve of the people who make up the BioReference family have never been stronger. We rely on innovation on doing things better and on servicing our clientele. I'm more than happy to take any questions.
Operator: [Operator Instructions] Your first question comes from the line of Amanda Murphy with William Blair.
Amanda Murphy: So I had a question on the volume growth. Just was curious if you could help us quantify maybe what the volume growth would have been if you were to adjust out the impact of the number of days in weather?
Marc D. Grodman: Yes. When we looked at the day itself, I mean, we lost days in February and March, [indiscernible] went up in April. We've looked at this -- I mean, the number with the day itself would have been about 8%, and it would have been 6%. And when you go in and you throw in the weather, we -- it would -- certainly, it would have been higher, and this would have affected the more of the less -- the lower revenue per patient business that we had. And we didn't really calculate the weather this year for that effect because the weather was lower on a number of days, but it wasn't like the easy quantifiable thing like Hurricane Sandy, where it happened over once -- very clear amount of time. The other part of it was that we're calling it to a second quarter last year and the first quarter last year where weather was superb and we lost no -- nothing to it, whatsoever. But the day itself would have made at least an 8% growth. And when we look at that, look at the effect of what it was in the previous quarter, which would have been about 9% on an equal footing, also with that same effect. I mean, I'm not particularly troubled by that difference at all. We also -- what we see is just the strength of the regional franchise, it is mostly responsible for the revenue growth. This week, all segments of our business had the strongest day they've ever had. The strongest number of clinical specimens that came in from all over. So there are variations that occur. Many of them are out of control, but the underlying growth pattern, I think, still is going to be very strong.
Amanda Murphy: So I'm just -- so if you think about -- you used to kind of trend more like 15%, somewhere around the mid double digit, mid-teens volume growth and then a couple of percentage points in terms of revenue per patient growth. So obviously, there's dynamics there with what you're talking about with the regional business on the revenue per patient side, too. So I'm just trying to get a perspective on...
Marc D. Grodman: We are -- we have gone back and forth for the time when we track those 15%, we had and we are growing in Women's Health. We had similar numbers to where we are now, which were somewhere volume growth around 10% and we grew closer to 20%. I get less involved -- get less concerned by that because I know that there are so many changes in all the different segments we work in quarter-by-quarter. So before we would see the 15%, we all saw the others [ph], a lot is reflective of -- for the patients, the volume growth of regional business and large chunks of that business. So the model right now is, clearly, appears to be high single digits, low double digits for where we are right now, but that can easily go in and change just given the penetration of the work that we have in the regional business.
Amanda Murphy: So I'm sorry if I missed this, but did you guys actually speak specifically to guidance for '13?
Marc D. Grodman: We only -- no, the only thing that we -- the only guidance that we've done in the past has been 15% revenue growth and 20% increase in net income. We haven't gone beyond that. The thing I should also mention about the volume growth also is there is one thing, there is one challenge that we have that will forever be difficult, and that is the growing denominator. And we are a growing business and we already have substantial businesses. So over time, the denominator becomes a challenge. I think we've performed fairly well when it comes to what our revenue has been and planning for the future increases.
Amanda Murphy: Got it. So presumably, that guidance still stands then...
Marc D. Grodman: Yes.
Amanda Murphy: Okay. And then...
Marc D. Grodman: 15% and 20% still [ph] -- I think we emphasized, as we did in the first quarter, we still think we'll do 15% increase in our net revenues, and we still think that our earnings per share will grow by at least 20%.
Amanda Murphy: Got it. Okay. And then just last one, I just wanted to get a status on the Valerie Greco case that was filed, the employee that was talking about wrongful termination, et cetera. Can you just let me know where that stands at this point?
Marc D. Grodman: Yes. Look, from the day that it was filed, we believe that this case was simply without any merit. Last week, the plaintiff, I understand, voluntarily dismissed the case without prejudice. I think we should probably also note and say about this is that the company never in any way offered or agreed or made any payment or concession of any kind to end this lawsuit. It was simply voluntarily dismissed by the plaintiff without prejudice. And I don't really have any other comment about this whole situation.
Operator: Your next question comes from the line of Robert Willoughby with Bank of America Merrill Lynch.
Robert M. Willoughby: A question for you. Just with the new Blue Cross-Blue Shield relationship, what effectively has changed here? You are basically, formally a network -- in-network provider. Are they obligated to push you or advertise you? Or what kind of support comes from there? And in general, I'm just trying to size the opportunity for me. How do you think about it over the next...
Marc D. Grodman: Yes, that's a good question. I mean, it's a subtle difference. In the past, people had mostly PPOs in most of the programs around the country, we would build -- it's not just us, it's every lab. And by that, I mean every single laboratory, big and small alike, would go bill one of the Blues that would have a contractual relationship who would then pay the bills and then send the bill to the other local plans. So by getting more in-network contracts, so then the new change is going to be now instead of billing the local Blue, we have to bill the Blue where the blood was drawn. So theoretically, it should not go in and have much of a material effect. So instead of billing the local Blue and now in-network with the distance Blue. However, I do believe that being directly in-network will have a benefit for us as we go out. Many doctors use more than one laboratory, and many times, they will go in and decide what -- who they're going to go use by what insurance coverage there might be in that office. And the more you have, the more you get in many cases. So I think that, although, all we can project out, as I say, that will be where we were in many of these states, I do believe that there will be an added benefit by being in-network by a vast majority of the Blues Plans.
Robert M. Willoughby: Okay. And do they throw any resources behind BioReference, or is it simply up to you to...
Marc D. Grodman: [indiscernible] resources behind anyone else. I mean, I think that -- but I think they do -- but the point -- but it's actually -- I don't mean to -- I mean, the point is right. They do provide resources, because what they don't want is what's happened. Here is a Blue Cross of any Midwestern state who used to go in and get limited number of bills from laboratories, and all of a sudden, they're getting bills from 30 labs. So they're going to do what they can to go in and have physicians use the ones in which they have established relationships. Because they don't need the paperwork headache that they're going to have. So in that sense being in a network laboratory will be beneficial to us. I think your point is absolutely well taken.
Robert M. Willoughby: Okay. And can you size the cash flow hit you think you took in the quarter with some of the confusion over the billing and delays in payments?
Marc D. Grodman: I think -- I would not -- I would be hesitant to do it, but I think that it pretty well shows off where we were last year, and I think that it was a significant one. I mean, there were people who didn't even do it. And some of the plans where we even had contracts had problems with their own computer system handling it. So I mean, I think it was a relatively sizable hit.
Robert M. Willoughby: Okay, okay. And just thoughts on any type of maybe automated share buyback market in the absence of real deal spending here. Where is that cash going to go?
Marc D. Grodman: Well, we're still looking at situations with it. I mean, I think that we'll go in and we constantly are balancing. I mean, we're looking at where we're going to be. The work that we're doing in Florida is beneficial. We do have a need to be able to do more local work and do more esoteric work here and in Maryland. So we look at those opportunities versus where their [ph] stock is at the given moment. We'll do more where we need to be [indiscernible] where we think it's going to be beneficial. But we're not going to put an automated price on where we're going to buy.
Operator: And at this time, we have no further questions. I would now like to turn the call back over to Dr. Grodman for any closing remarks.
Marc D. Grodman: Well, thank you very much. I apologize again for the mishap. I think people did end up being on the webcast, though, somewhat later than what was expected. I want to thank all of you. I think that this was an important quarter for us. We faced issues, challenges and I think that we came out well. We're looking forward for continued growth. I want to thank all of you, and have a great day. Thank you very much.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect. Have a great day.